Operator: Good day ladies and gentlemen. And welcome to the Ebix Inc. Third Quarter 2016 Financial Results Investor Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this call may be recorded. I would now like to introduce your host for today’s conference Mr. Darren Joseph, Corporate Vice President. Please go ahead sir.
Darren Joseph: Thank you. Welcome everyone to Ebix Incorporated’s 2016 third quarter earnings conference call. Joining me to discuss this quarter is Ebix’s Chairman, President and CEO, Robin Raina; and Ebix’s EVP and CFO, Robert Kerris. Following our remarks, we will open the call up for your questions. Now, let me quickly cover the Safe Harbor. Some of the statements that we make today are forward-looking, including, among others, statements regarding Ebix’s future investments, our long-term growth and innovation, the expected performance of our businesses and our use of cash. These statements involve a number of risks and uncertainties that might cause actual results to differ materially from those projected in the forward-looking statement. Please note that these forward-looking statements reflect our opinions only as of the date of this presentation, and we undertake no obligation to revise or publicly release the results of any revision to these forward-looking statements in light of new information or future events. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements made today is contained in our SEC filings, which lists a more detailed description of the risk factors that may affect our results. Our press release announcing the Q3 2016 results was issued earlier this morning. The audio of this investor call is also being webcast live on the web at www.ebix.com/webcast. You can look at Ebix’s financials beyond what has been provided in the release on our website, www.ebix.com. The audio and text transcript of this call will be available also on the Investor homepage of Ebix website after 4:00 PM Eastern Time today. Let me now discuss the quarter from a numerical perspective. Revenue in Q3 2016 increased 12% from a year ago to $74.6 million. On a constant currency basis, Ebix’s Q3 2016 revenue increased 12% year-over-year to $75 million as compared to $66.8 million in Q3 of 2015. The revenue improvements reflected growth in the company’s exchange channel as well as higher revenue from the risk compliance channel. Also on a constant currency basis, year-to-date revenue increased 13% to $221.6 million as compared to $195.3 million during the same period in 2015. The continued strengthening of the U.S. dollar year-over-year as compared to the international currencies decreased revenue by $0.4 million in Q3 2016 and $3.3 million during the nine months ended September 30, 2016. In Q3, our exchange revenue continued to be the largest channel for Ebix, accounting for 70% of the company’s revenue. The year-over-year revenues increased as a result of revenue growth from life, annuity, underwriting, reinsurance, RCS, and Health e-commerce services in addition to reported revenue growth generated from the company’s take-in of 51% controlling position and Ebix Health Administration Exchange, EHAE, the joint venture with IHC, which is now fully consolidated with Ebix. The European division showed 156% year-over-year growth in the nine-month period ending September 30, 2016 by growing to a $13.5 million from $5.3 million in the same period in 2015. This revenue growth is largely associated with the PPL insurance underwriting exchange platform contract, which was executed and initiated earlier this year. Quarter-over-quarter revenues for Europe grew by 140% to $4.4 million in Q3 2016 from $1.7 million in Q3 2015. This growth is in spite of the fact that post Brexit currency devaluation, has caused Ebix’s $0.7 million and reduced quarterly revenues. The India division showed 295% year-over-year growth in the nine-month period ending September 30, 2016 by growing to $10.1 million from $2.5 million in the same period in 2015. This revenue growth is largely associated with the company’s e-governance efforts in India. Quarter-over-quarter revenues for India grew by 354% to $3.8 million in Q3 2016 from $0.8 million in Q3 2015. The Brazil, New Zealand and Australian divisions continued to show reduced year-over-year revenues in the nine-month period of 2016, a result of the strengthening U.S. dollar, while Singapore division grew by a modest 14% in the same period in spite of being impacted by the strong U.S. dollar. The Q3, 2016, all the international regions grew 12% year-over-year as compared to Q3 2015. Reinsurance exchange revenues grew 140% underwriting exchange revenues grew 20%, life exchange revenues grew 2% year-over-year in Q3 of 2016 while health, e-commerce exchange revenues grew 46% each in the same year-over-year period. RCS revenues were up 15%, because of the new e-governance revenues in India. The company’s pharmaceutical health content and PC carrier back-end operations showed decreased year-over-year revenues. The company’s health content revenues were down 11% year-over-year affected by the increased price competition in this sector and the decision of the company to scale down its life sciences division as part of its focus on increased margins resulting in the life sciences group revenues being 51% lower year-over-year. In Q3 2016, operating margins remain consistent at 33% as compared to Q3 2015. Operating income for Q3 2016 rose 11% to $24.3 million as compared to $22 million in Q3 2015. Our operating income of $24.3 million was impacted by a number of one-time events in Q3 2015. It was impacted by one-time operating expenses of $1.9 million in Q3 that won’t occur in Q4 in 2016 including amongst other things certain one-time legal settlement costs, self-administered insurance cost associated with certain one-time claims, one-time increased expenses associated with the CEO salary change and a few other non-reoccurring costs associated with the valuation, tax restructuring and acquisition related initiatives such as Patriot National. Partially offsetting these costs, increases in improving operating income was $1.21 million associated with the release of contingent earn-outs based on re-measurements of the earn-out allowance as of September 30, 2016. Q3 2016 net income rose 19% to $24.1 million compared to Q3 2015 net income of $20.2 million. The net income reflected both one-time charges of approximately $2.5 million as previously detailed and the one-time benefits of approximately $2.3 million essentially offsetting each other. Also as reported in this press release earlier today, the company is presently working on the cost rationalization exercise which is expected to deliver reduced expense of approximately $1.5 million per quarter beginning in Q1 of 2017. I will now turn the call over to Bob.
Robert Kerris: Thank you, Darren, and thanks to all of you on the call for your interest and continued support of Ebix. Q3 2016 diluted earnings per share increased 26% to $0.74 as compared to $0.59 in the third quarter of 2015. For purposes of the Q3 diluted EPS calculation, there was an average of 32.7 million diluted shares outstanding during the quarter compared to 34.5 million shares in Q3 quarter of 2015 and 33 million shares last quarter of 2016. As of today, the Company expects the diluted share count for the fourth quarter will be approximately 32.3 million. Operating income for Q3 2016 rose 11% to 24.3 million as compared to 22 million in Q3 of last year. The operating margins in the third quarter remained consistent at 32% as compared to Q3 2015 despite being adversely pressured by lower margins associated with our strategic consulting and e-governance businesses, due essentially to the higher margins realized by our exchange related businesses. Specifically the Ebix’s Consulting Group and e-governance business combined had operating margins of approximately 20%. Ebix’s other business lines generated strong margins of 35% plus in the aggregate. We are pleased with the fact that the company continues to report sequential quarterly revenue growth, robust cash flow from operating activities, consistent operating income and attractive operating margins in the 30% to 35% range. In terms of cash flow, during the past quarter, we generated $22 million from our ongoing operating activities, an increase of $6.6 million or 42% from Q3 of last year. In the nine-month period ending September 30, 2016, the company generated $53 million of operating cash flow, an increase of $27.4 million or 107% as compared to the same nine-month period in 2015. Regarding the uses of cash during this past quarter, the company utilized $1.5 million for the continued build-out of our headquarter campus here in Johns Creek, Georgia and to build-out our expanding product development facilities in India consisting of our local headquarter campus in Noida and the build-out of a new 65,000 square-foot software development facility in Hyderabad. The company also invested $700,000 in support of growing server needs for our exchange operations in international markets. In regards to initiatives targeted at enhancing shareholder value, Ebix realized $8.6 million of cash during the third quarter towards repurchasing 118,200 shares of our common stock, for $6.1 million and paying $20.5 million towards the quarterly dividend. On a year-to-date basis, since January 1 of this year, the company has purchased a total of 1.12 million shares of common stock for $42.8 million in the aggregate and paid $7.4 million in quarterly dividends. With these additional share repurchases, and since August 1, 2014, the company announced that Ebix’s board’s decision to repurchase stock on a continued basis over that subsequent three or four-year period. The company has now repurchased approximately 6.2 million shares of its common stock for an aggregate amount of $158.7 million reflecting an average purchase price per share of $25.26. We expect to continue the share buybacks utilizing operating cash from our business as market conditions and strategic plans dictate. That said, the company still closed the quarter with cash, cash equivalents and short-term deposit investments that were $111.8 million in the aggregate, up $30.8 million as compared to the previous quarter ending June 30, and up by $76.6 million as compared to year-over-year in 2015. From a liquidity perspective, we have $107 million of cash and short-term investments on-hand and access to $244 million of potential available capacity under our expanded credit facility with regions which improves $100 million a quarter, to support 10-year profitable growth of the company both organically and through accretive acquisitions to efficiently integrate business acquisitions and to repurchase of our common stock as mark conditions warrant. The current interest rate on our syndicated credit facility is a very attractive 2.81%. Furthermore asset key balance sheet metrics, our balance sheet remains healthy and our company’s financial position strong with a current ratio of 2.6, our working capital short-term liquidity position $114 million, a debt leverage of 2.27 and a debt to equity ratio of only 0.6 as of September 30. Finally, Ebix’s Form 10-Q we file with the SEC later this afternoon. I will now pass the call onto Robin. Thank you.
Robin Raina: Thanks Bob. Good morning to everyone joining in on the call, over the phone and the web. I’m pleased with the Q3 2016 results and the fact that these results are in-line with our aspirational goals that I set out for Ebix some time back. I’m pleased with the Ebix’s Q3 2016 revenues being $75 million on a constant currency basis. I’m pleased that we got here while reporting 33% in operating margins and operating cash flows of $22 million. Q3 2016 revenues are the highest revenues reported by Ebix in any quarter through its history. I’m pleased that we’re reporting these numbers while having a large deal pipeline like never before. Our third quarter 2016 diluted EPS of $0.74 is a record number for the company. Between our accretive acquisitions, new deal pipelines, new cost synergies and our stock buyback, we’re hopeful that we can keep it moving in the right direction. Darren talked about the effect of FX on our third quarter 2016 and nine-month results ending September 30, 2016. Over the last three years, the U.S. dollar has kept spinning and that has obviously not helped the reported results of Ebix’s foreign operations. It’s reassuring that in spite of that our results have continued to improve. The drop of $3.3 million in the nine-month period on a count of FX can be better understood if you ran that analysis with respect to three years back, as the currency has continually kept declining each year over the last few years, cumulatively impacting our revenues by much larger numbers when you compare it to three years back. We feel that we have momentum on our side. The area of life, reinsurance exchanges and e-governance, have all been good growth drivers of top-line throughout the year 2016. That plan has continued in the third quarter of ‘15 and many large players deciding to deploy our platform. We expect to continue on the momentum that we have built in this area as we are in the midst of many such deals at present. We find new contract with clients in third quarter of ‘16 in every facet of our business including RCF, CRM, health e-commerce exchanges, underwriting exchanges and UD exchanges, back-end systems, consulting contract etcetera. Our deal pipeline is strong with Ebix being a contender for many large deals. I prefer not to provide any details about these prospective deals at this time for competitive reasons. While there are no guarantees that any of these deals will come through, yet, if secure, these deals could make our previously announced large deals look rather small in comparison. We’re putting in our best efforts to secure these contracts and we’ll announce them formally if and when any of these deals are closed. We’re also looking to expand our presence in the area of health exchanges. Towards that extent, we exercise the right to take controlling interest in Ebix’s Health Administration Exchange, EHAE by taking up 51% of the shareholding in Q3. A number of things to note down on that front; EHAE is, in the business of processing insurance claims on behalf of various carriers. The two biggest components that drive efficiency and cost for an entity like that are technology and manpower. Our Ebix Enterprise technology is an end-to-end solution that can fulfill the technology role. While our domain knowledge of health insurance spread across India and the U.S. puts us in a strong position to handle that too. Ebix Health Administration Exchange has evolved from a cash burn rate of $1.1 million in the first quarter of 2016 to an anticipated break-even point in the fourth quarter of 2016, while revenues have increased by 12% to 13% since Ebix got involved. We feel that as we implement our other qualitative changes, EHAE is poised to generate decent profitability in 2017. What interested us to this business is the fact that most PPAs in the U.S. are running at low margins. And that we could superimpose our success with EHAE on these PPAs and create a new revenue line and business model in the process. Our USP in this area is a success with having implemented claims handling out of India, while providing our end-to-end enterprise solutions to power the systems for the PPA concern. We’re also looking at a new area that could generate meaningful results for Ebix in the future. Specifically we seek to convince insurance entities to break-out the IT services and insurance processing and administration services into a separate joint venture entity with Ebix. Our goal is to provide end-to-end technology through our wide repertoire of products to any such entity besides utilizing offshore and on-site resources to efficiently power this entity. This can result in a win-win for both Ebix and the company forming a JV with Ebix with them getting reduced cost and a part of the profits as dividends while Ebix recovers it’s OpEx through providing ambulant services to the JV partner through this entity. We will report more on it once we put any such contract in place. We are continuing to grow our presence in the e-governance areas in India. We are in the midst of many large-sized deals in this area that we will report on once we sign any one of such large-sized deals. In recent times, we have changed gears to target e-governance deals that have relatively high margins in sync with our desired margin level, more on it later. We’re pleased with the continued progress of our PPL initiative in London. We’re committed to doing everything in our means to make this initiative a roaring success for the London insurance markets. We just successfully deployed another product line, facilities, insurance in November 2016, after earlier having deployed terrorism insurance successfully. We have aggressive plans in terms of new product rollout for PPL in 2017. As regards acquisition targets, we have aggressive short-term and long-term plans on that front. Ebix has an acquisition record that is second to none in terms of success play. We realize that it takes just one bad acquisition to change that record. Accordingly, they’re highly disciplined and selective in how we approach an acquisition target. We try to cover any perceived risk through various forms of back-up built into the deal. Any time an acquisition target gets out of those metrics, we are prepared to give up on the acquisition even if we have put in a lot of time, energy and cost in the target. For every one acquisition that Ebix announces, we have walked away from many because something did not seem right or fit into our business model or risk profile. At no point I’d be ready to take a risk that could derail the success of the past 17 years through one bad acquisition. We look at the worst scenario first to ensure that the worst scenario does not have a big risk associated with it. We have a very strong pipeline of healthy deals that we’re evaluating at present. We prefer not to talk about any individual deal until we close it for competitive reasons. We’re looking to create a separate M&A function in the company to be led by a dedicated senior person to oversee the execution of our plans in that area. We remain focused on protecting and growing our margins. As the press release indicated, we’re presently in the midst of a cost rationalization exercise to try and improve our cost structure by a few margin points. We feel that our margins will improve as more of the EHAE related initiatives are fully deployed especially related to India in the coming quarters. Also in case international currencies start strengthening as compared to the U.S. dollar, we’re going to see our revenue grow as also our income as approximately 40% or more of that revenue increase translates into increased margins for Ebix worldwide. Ebix has always been a cash generation story over the last 17 years. Q3 of 2016 was no different in that area with the company reporting cash flows of $22.1 million. We have always had a stellar record in terms of quickly converting net income into operating cash flow. Also, in the constantly growing company like Ebix, where year-over-year revenues continually have kept moving upwards, and the Ebix DSO of 73 days at present, any increase in revenues and operating income will have a lag, which basically, because of the DSO and the continually growing delta revenue, we expect to keep growing our operating cash flow and continually remain focused on that. Ebix today has dreams of being many times larger than its present size. We’re in the midst of implementing our plans to implement that vision while protecting our margin structure. We feel that we have the backing of a bank to head in that direction as also strong access to resources. As Bob conveyed during this talk, we have access to approximately $107 million of financial resources in the form of cash and cash equivalents and access to bank credit facilities of approximately $244 million and more if we need it. Add to that, the prospective continued cash flow generated from operations by the company over the next 12 months, doesn’t believe that we have the financial resources to carry-out all the growth initiative with an added goal of delivering improved diluted EPS and increased shareholder value. Part of that vision is to reinvent the culture of Ebix and position it as an energetic generation X company, we are today in the midst of many steps in that direction including creating a work environment that can compete with the best of the best in the technology industry. We built a wealth [ph] of 17-acre campus in Johns Creek, Georgia in that direction. Not only has it helped us achieved the desired work environment but it has also helped us rationalize a cost structure each time we move any disjointed operation from another city into the campus. For example, in recent times, we successfully moved our RCF, certificate racking operation from Hemet, California into the Johns Creek, Georgia office. It’s a blessing that we have done that while securing tax rebate from the local government, great employee retention rate and the city naming the road of our campus as Ebix Way with our campus addressing being 1, Ebix Way, Johns Creek, Georgia. We are presently finishing a similar low-cost effort in India, to build-out our Indian headquarters in Noida. That effort should be accomplished by February 2017. We’re also presently building out another large 65,000 square-foot facility in Hyderabad to keep pace with our growth initiative. All this has translated into retention record for us that is rivaled by a few in India. At present, our employee accretion rate in India is close to 2% as compared to 8% to 10% for the known-large multi-national names operating in India. We are proud of that record. A few days back, one of my colleagues, Mr. Muthu Arumugham, Corporate Vice President, Technology at Ebix, was named Georgia’s CIO of the Year by Atlanta Business Chronicle in the corporate category. He received his well-deserved award from Hewitt Packard CEO, Meg Whitman after having beaten many contenders to the award from the, whose-who of the Georgia based companies. I’m proud to see Muthu get this award especially because it’s an award that’s given by a committee comprising of other CIOs from other companies. This award is a reflection of the IT scanning of the company today in technology circles and how other technology leaders perceive the company today. Lastly, Ebix will be 41 years old in 2017. I’ve been involved in this journey with Ebix for almost 18 years now. And I’ve seen the company deliver 68 plus quarters of profitability growth and consistency. I’ve seen the company rise from a loss $19 million in 1999 to become one of the highest-margin technology companies in the U.S. I have witnessed the company deliver top-line compounded annual growth rate CAGR of approximately 20.3% since 1999. I’ve also seen the company deliver a total shareholder return DSR of approximately 13,815% since January 1, 2001, and still have with the basic belief that the best is yet to come. I’m hopeful that the 41st year of Ebix’s birth spouts the beginning of a new era of growth and profitability. That brings me to the end of my talk. I will now hand it over to the operator to open it up for questions. Thank you.
Operator: [Operator Instructions]. Our first question is from the line of Jeff Van Rhee of Craig-Hallum. Your line is open.
Jeff Van Rhee: Great, thank you. Several questions for you guys. I guess, just first, Robin, with respect to the operating margins, I mean, sort of my take last quarter, it seemed you were getting a bit more cautious in the near term about operating margins as you commented about some of these larger India contracts, even lower margins. And then you thought you could rebuild over time. The message this quarter seems to be a bit more, conviction about operating margin expansion outside of the cost savings you’re going to take out of the business. Excluding that, is that an accurate sort of read-back of what’s going on and just kind of maybe your take on the operating margin progression here?
Robin Raina: Jeff, let me give you a candid answer to this one. Last quarter when I presented, I talked through I was going to present the range. I believe it is my responsibility to be transparent to shareholders and to present the thinking to shareholders as we see it in the management. And my thinking was I was not at any point suggesting that Ebix’s goal is to definitely take the margins down to 30% or lower. What I was trying to say that don’t read too much into the operating margin just in case in a particular quarter, you’ll see the number go down a little bit because we’re trying to build the company, we’re trying to build the revenue. We’re trying to make sure that we build a company for growth now. A growth we would like - make Ebix into a growth story. And which we believe that we have done over the years but we believe we can do a much better job on that. So, having said that, at no point was I suggesting that that’s the planned strategy that we’re going to definitely take it to 30%. I was just trying to create a range and tell the investors that just in case you see that happen, don’t read much into it. Having said that, at no point would I, be comfortable with a margin of 30%. I believe that we worked very hard to take this company into 35% to 40% range. I’d like to keep the company at least at somewhere in that range of 35%. Right now, we’re at the 33% mark, and we will try to stay somewhere in that range between, 30% and 35% for now as we build-up a growth story out here. But that’s point to be our effort and in particular quarter you might, as we build the growth story, part of it is we’re not shy of making difficult decisions. To give you an example, you might see in a particular quarter where we feel will take a higher expense in a particular quarter and the reason we might do it, simply because sometimes we make these decisions to clean up your financial for the future. For example, if you can take an expense now and in the future it reduces your expenses on a continual basis, I think we’re on for it. We’re going to take that expense and possibly take a margin down in a particular quarter to 30% level because it helps us in the future. So, all I was trying to do was set-up expectations and try and say that look, we’re going to be - we’re going to do a little bit of experimentation, we’re going to try and build Ebix into a high-growth story at the same time, just be patient with us. That’s basically what I was saying rather than saying that I definitely wanted to take it down to 30%. Does it answer your question?
Jeff Van Rhee: It does, it does.
Robin Raina: Thank you.
Jeff Van Rhee: And so, I guess, just second question around pipeline, you’ve referenced in the past some transformational large customer deals working through the pipeline, you’ve talked about your EY venture. In India I think you called out little more specifics on this call about the revenue flow in India. How do you characterize the health of the pipe now, I mean, I think you’ve talked at the last few quarters that you felt like the pipeline was in outstanding shape. Is it sort of equivalently outstanding if that’s a good question? I’m curious if it’s getting better?
Robin Raina: Yes, it is, it is. It is equally good, it’s continuing to grow, meaning, what is happening is as we become a larger company we’re being brought into deals. It’s also now that companies reach out to us and try to bring us into a deal. So, that makes our work a lot more, easier. Part of it is that you become bigger. A lot of the larger companies who were shy of talking to you about larger deals now start reaching out to you because they think you’re one of the larger players. Earlier they thought the risk was higher because we were a small company and so on. So, having said that, our pipeline is stronger than ever before. I think part of what have changed majorly is our approach to things. We’re also looking at things we want to be in the midst of larger deals. Again, what hasn’t changed is, that our focus on recurring revenues. We are very focused on recurring revenues. We’re still not willing to take short-sighted decisions. We’re not willing to take these low margin deals for example or taking perpetual license deals which might be very, which are sometimes very attractive because they could be large value deals. What we’re trying to do, we’re trying to at least operate in a business environment where we could get bigger deals, recurring deals. Now having said that, we’re also trying to take the company in various areas, for example, one of the areas I covered today, I talked I think in some detail about the concept of convincing insurance companies, convincing large brokers to break-out their IT and service this group into a separate venture with us. What that does is that we basically believe we’re good at this. We’re good at technology, we’re good at manpower. We also believe we’re good at financial discipline. We can bring that value of Ebix to that broker, to that carrier and basically say listen, we’re going to float this JV with you, and we’re co-participants with you in this JV at the same time you outsource your entire business. Now this could be a large - let’s say there is a large broker who has a $200 million operation just related to services, we would want to put that $200 million operation into a possible JV and then become a joint venture partner and basically say, listen, we will give you part of the profit will be given to you as a dividend, as a JV partner, it brings their pass-down because now they’re getting, they are getting a dividend on something where if they were spending $100 earlier, now they might be spending only $70, because $30 or $20 is coming back to them and so on. So that’s the business venture that we are pursuing aggressively and seeing what we can do. So the company is this is just an example. The company’s approach has changed. We’re also looking at areas like health Co-ops for example. The concept of Health Co-ops in the U.S., I mean, as you know with the present election, with the change that yesterday happened, we don’t know which way it is going to go with respect to ObamaCare, so we’ll watch this. But one thing is for - you have to know that health insurance needs a fix in virtually every state that we go across. It’s not a hidden secret that out of the 23 Co-ops that was started under ObamaCare, only six are remaining right now, which means, you go to states like New Jersey and you see one carrier, health carrier operating out there. That requires a fix with all that are going on. There is a place for vendors like us in there to try and make some of these co-ops, some of these insurance companies a lot more efficient, so that what you’re seeing in the markets, the premiums go up tremendously. Part of the reason these premiums are going up, because they’re not efficiently run. A big part of their cost is technology, manpower. If somebody can step in and give them their value and bring the technology cost down, you’ll be pretty amazed if you did a study of any Co-op for example in the U.S. and looked at what is their technology cost or their manpower cost related to administering that technology, these are mindboggling shocking numbers. If you can bring their technology or that manpower cost down, you’re going to see a big improvement in terms of first of all, their survival rates, second of all, better premiums, you’re going to see better returns to people, they will get better health insurance coverage and so on. And we feel there is a room for players like us to come in into that market and we’re going to do, we’re not going to work in that market in a traditional role, we have our own ideas on how we want to step in. So, this is an example of what Ebix is today thinking. We have a very different style of thinking right now. We feel that we can make Ebix into a much larger player. So we’re thinking outside the box. We’re, not wanting to operate like another vendor who steps in into the market and says, well, I’m going to sell another product and try to compete with somebody. We’re trying to define the market. We’re trying to change the way the market has operated because we believe if we can do that correctly, revenue will happen, margins will happen because we can redefine the business by doing that.
Jeff Van Rhee: Yes, got it, a couple of brief ones for me. I see you consolidated this quarter, I guess, size the impact, what was the revenue impact? Did you get a full quarter, just a month of revenue out of there? I’m just trying to get a sense of how that plays out?
Robin Raina: Look, the revenue impact of that is, you’re going to see in the Q. But basically there is, what we did, when we acquired that revenue, we also had to lose - we also lost some revenue because there is revenue happening from I’d say, from this [indiscernible]. For example, we were doing all the administration work out of India for them, we were doing all the custom development work we’re providing all the technology. Now we can’t count that revenue. So that revenue had to be removed from the overall revenue. So, there is a bit of trade-off in what the revenue we acquire. If we acquired x amount of revenue, we didn’t really acquire x because it was x minus our existing revenue that we had from them. But approximately you could say that approximately $3 million of add-on revenue that got added to the mix. But you also have to remember and that’s a very good question you asked. That $3 million that we got added into the mix, it came with zero profit. It came with zero profit. And the reason we are bullish about it is when we acquired, took a position in this, that in Q1 of 2016, they were losing $1.1 million a quarter. Today we’re approaching zero. Why? We did something right in there. And we feel, we think ‘17 is going to be a fantastic year. We took an early position by taking control in that company, so again, when you look at it, if you’re reporting our operating margins with zero profitability out of something like that, you can imagine that clearly we have some room to grow in our operating margins.
Jeff Van Rhee: Yes, got it. Okay. And then just two last brief ones and I’ll let somebody else. Obviously the Patriot National offer you had put out there and then had a portion of your lease today dedicated to Patriot. I’m not sure if there is any incremental color that you’re able to provide there? But if so I’d love to hear it. And then also I’d just throw this out there, you commented about hitting your aspirations this quarter. Any updated color in terms of aspirations, your thoughts going forward?
Robin Raina: Look, I already talked about our acquisition strategy. I think, I already gave my comments about how we approach acquisitions, how we are willing to walk out of deals and so on. So, I’ll just stop at that. I don’t want to go into specifics of Patriot simply because we have a very tight India with them. I think they’ll read through our release today, we talked through what we had to say about Patriot National. I’ll just stay with that. I think the important part to remember is that Ebix doesn’t like getting carried away by anything. I think the important part to know is, we’re not just going to, if something appears very good, we will not take that for granted. We want to be, we want to absolutely be 100% sure or at least 80% sure that what we’re approaching at least has risk mitigation strategy. And if we feel uncomfortable with something we will walk-out of it. That’s the extent to which I could say general about our acquisition strategy. So beyond that I don’t have anything to add on that front.
Jeff Van Rhee: Okay. And any updates that you’re willing to share on the aspiration side?
Robin Raina: I think on the aspiration side, I think all I will say at this point, because I’ve talked in the past about our goal. I think right now all I’ll tell you that we have a very aggressive plan over the next three years. We feel we have money on our side. We feel we have deals on our side. We feel that this company can be a few times larger as we approach the next, I don’t want to give you a timeline - I’m hesitating to give you a timeline. But basically let’s put it that way, we feel that we can be the largest player in the market in the insurance and financial services area in terms of specially non-demand area. And we feel that the challenge there is we believe we can do that while protecting our margins. And that’s basically why part of it is, we took a very serious look at our own cost, our own internal cost at how we’re running the company. Part of it, Jeff, is that as companies grow, there is a big danger of losing your efficiency, facts just creeps in. Part of what happens is, when you get too close to a subject you lose objectivity. And I’m always scared about it and I talk to my senior management all the while about this. I’ve been here 17 to 18 years, and I dread the thought of that am I being very - have I lost my objectivity? Have I lost the ability to see that fact exists? And I always believe that if I wasn’t in Ebix, and a new CEO was running Ebix, I believe he will probably drive more efficiency than I have. I believe he will come in and say, look, Robin wasn’t noticing these things. Our management wasn’t noticing these things. There is, so much facts sitting here. So, it’s something that keeps us always on our toes. We don’t want to get carried away by the successes of our last 17 or 18 years. We want to be focused and that’s an exercise we continually undertake. Especially in the last 90 days, we took a very serious hard look at where we are. We aren’t done with what we need to do in that area. But over the next 60 to 90 days, we’re going to implement some of these steps which I believe will be good for Ebix in the near future and the long-term future.
Jeff Van Rhee: Okay, great. Thanks for taking my questions.
Robin Raina: Thank you.
Operator: Thank you. And I’m not showing any further questions. I’d like to turn the call back over to management for any further remarks.
Robin Raina: Thank you. I think that brings me to the end of the call. I look forward to speaking to you guys again as we announce our year-end results. Thanks everyone. Thank you. And with that I’ll close the call.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude today’s program. And you may all disconnect. Everyone have a great day.